Operator: Good morning and welcome to the Intrepid Potash first quarter 2010 earnings conference call. (Operator Instructions) I’d like to remind everyone, that is conference is being recorded today Wednesday, May 5, 2010 at 8 O’clock am Mountain Time. It is my pleasure to turn the conference over to William Kent, Director of Investor Relations. Mr. Kent, please go ahead.
William Kent: Good morning. Thank you all for joining us for our first quarter 2010 earnings conference call. I’d like to start by introducing today's participants from the company. We have with us today Bob Jornayvaz, the Chairman and Chief Executive Officer; Hugh Harvey, Chief Technology Officer; David Honeyfield, Executive Vice President and Chief Financial Officer; Martin Litt, Executive Vice President and General Counsel; R. L. Moore, Senior Vice President of Marketing and Sales; and John Mansanti, Vice President of Operations. I would also like to remind everyone that statements made on this call, which express a belief, expectation or intention, as well as those that are not historical fact are forward-looking statements within the meeting of the United States securities laws. A number of assumptions which we believe are reasonable were made in connection with the expectations reflected in such forward-looking statements. The forward-looking statements involve risks and uncertainties, which could cause actual results to differ from our expectations. For material information with respect to the risks, uncertainties and factors, which would cause our actual results to differ from our forward-looking statements, we direct you to our news release issued this morning and the risk factors described in our filings with the SEC. All forward-looking statements are qualified in their entirety by such factors. Our earnings news release, which is posted on our website at www.intrepidpotash.com, includes a reconciliation of certain non-GAAP financial measures to the most directly comparable GAAP measures including EBITDA, which will be used on this call. All references to tons are to short tons of 2,000 pounds. I’ll now turn the call over to Bob. Bob.
Bob Jornayvaz: Thanks Will, and thanks to everyone for taking the time today to learn more about Intrepid’s first quarter 2010 results. The first quarter of 2010 Amsterdam would appears to be the return to more normal demand in application levels for potash in the United States. In terms of tons sold, Intrepid had it second best quarter ever, selling 243,000 tons of potash. We earned $0.16 per diluted share, net income of $11.8 million and generated $26.6 million in EBITDA; and build upon on already solid cash positioned in the quarter with a $129 million of cash and investments. We expect to use these cash in hand along with cash generated from operations in order to fund our capital investment program in 2010, including our recently approved langbeinite recovery improvement project, which we’ll address later in the call. Our first quarter results confirm the potash demand trend that began to emerge in the fall of 2009. Looking for a moment, in November of 2009, we saw very good volume movement of 66,000 tons at an average net realized price of $405. Clearly, given the volume movement, former saw good value for potash at these higher prices, with the sales volumes, we saw these prices in November, 2009, $51 higher than the price we realized during the first quarter of 2010. We had anticipated that market pricing had bottomed, however, prices unexpectedly continued to fall in late December, when the Canadian producers reduce the price by approximately $50 a ton. Moving back to the first quarter of 2010, the most significant trend that we have seen is the dealers, who took put the most part last year had only purchased product when they had firm orders from downstream buyers in hand. Have actively been purchasing product for the spring fertilizer application season. During the first quarter of 2010, some of our distributor customers, purchased product from us at volumes above historic norms, presumably to fill orders and modest inventories for future sales. The robust demand from dealers has substantially drawn down our granular inventory, we are essentially sold out of our red granular production to April and inventory will remain tight through midnight. While we are not allocating product to our customers, we are reserving part of our production to ensure, we have products available to service the needs of our truck customers. We have adapted our sales strategy to the current potash market environment, in order to operate the business more efficiently. Under this revised strategy, we are committed to participating in the potash sales market at competitive market prices. This strategy lets us maximize production volumes as we bring our mines back to pull production capacities, thereby lowering our per ton production cost and enabling us to concentrate on gross margin realization. We fully understand, that we’re always subject to larger overall potash market as it relates to pricing, we must actively manage our sales efforts to maximize margin. The buying activity that we observed during the winter and early spring, shows us the farmers in the United States, recognize the value of potassium’ agronomic benefits, we believe that the United States potash market is returning to more historical fertilization rates and at the current market trends should be sustainable, 2010 as an exciting year for Intrepid. We are moving forward with our langbeinite recovery improvement project, which is designed to increase our overall recovery rate of langbeinite, which we market under the name of Trio to approximately 50% and provide us with the ability to granulate all of our excess standard production and sale more product into the premium granular market. Having this production flexibility is important as we continue to sale out of granular product. We strongly believe in the investment we are making to construct this project and the long term benefits that it should bring. Further, we believe that is market recognizes the combined value of the nutrients in Trio, we should see our pricing opportunity in the premium market strengthen. Finally, as our minds begin to reach more normal operating rates, we expect to see the benefits of the numerous de-bottlenecking projects that we have invested in and completed over the last two years. John Mansanti, our Vice President of Operations will take the call from here. John.
John Mansanti: Thanks Bob. We produced 172,000 tons of potash during the first quarter of 2010. This compares to 137,000 tons produced in the first quarter of 2009. We also produced 57,000 tons of Trio during the first quarter of 2010, which compares to 42,000 of Trio produced in the first quarter of 2009. Demand from regular Trio remain very strong during the quarter and given the strengthening potash market, we’re rebalancing our producing profile to supply both the granular Trio and potash markets. We continue to work diligently to bring all of our operations back to historically normal production rates and return our West mine to full staffing. Even with the extremely tight labor market in the Carlsbad we are making good progress and hiring the people necessary returned to full production levels of West mine. We remain on track to have the appropriate staffing in place around the middle of the year. Our desires to hire in trained full time staff in lieu of temporary contract labor. As we believe it is important over the long term employees with the best of the interest in the company’s success. Capital investment in our operating facilities was approximately $19 million in the first quarter. During this period, we completed the final commissioning at the underground stacker reclaim project in the [Hydro Floor] at the West facility. At this facility, we completed the construction and insulation of the new wash thickener began commissioning process during the month of April. We expect the thickener to be running the design production rates in the next few weeks. Moving briefly to the HB Solar Solution Mine, we are now 15 months into the EIS process with BLM, we’ll continue to remain on schedule. The BLM has issued its scoping summary report for the EIS and it's moving forward on preparation of draft EIS. We have also been working with the New Mexico Environment Department on issuance of the underground injection permit for the mine. We believe that issuance at this permit should occurred shortly. As Bob mentioned, we have committed to move forward with the langbeinite recovery improvement project. Final engineering of this project will commence this month, followed by construction as the new plant. Construction is expected to be completed in the new plant and service by the end of 2011. The project will increase our overall recovery of langbeinite to approximately 50%. We’ll reduced process for the usage and the project has been size to combination additional throughput from mine expansions. As part of the project, we’ll had a granulator were by we’ll have the ability to granulate our entire production stream as standard size product as required. By adding the granulation process, we’re increased our ability to service the growing market for granular size Trio products. This recovery improvement project is a high priority for Intrepid, by producing more product tons from the same number of order tons, our per ton cash operating costs should decrease and we expect to lower overall operating cost structure to this facility. The total project investment as expected to be between $85 million and $90 million included in this range as $3 million, which has already been spent on engineering related services, approximately $35 million will be invested in the remainder of 2010 and the balance in 2011. Total capital spending for Intrepid in 2010 is still expected to be in the range of approximately $125 million to $155 million. As the langbeinite recovery improvement project was contemplated in our previously announced capital budget. The efficient to langbeinite recovery improvement project and other sustaining and improvement projects, we're working through the engineering phase of the project to add additional compassion capacity at our more in facility. This project will allow us to granularly all of our Moab production if needed. This provided us greater marketing flexibility, we expected 2010 capital program will be funded out of cash flow from existing cash on hand. Now I’ll turn call over to R.L. Moore, our Senior Vice President of Marketing and Sales.
R.L. Moore: Thank you, John. We saw our 243,000 tons of potash during the first quarter of 2010. This compares to 99,000 tons sold during the first quarter of 2009. We also sold 70,000 tons of Trio during the first quarter of 2010, compared to 38,000 tons of Trio sold in the first quarter of 2009. As Bob highlighted, sales volume in the first quarter required good for Intrepid. We saw strong demand for potash and Trio throughout the entire quarter. As we’ve stated on our last call, we have long held the belief, that the under application of potassium fertilizers in United States over the last two years would eventually lead to a more typical demand profile due to the need to replace the nutrients removed from the soil. During the first quarter, dealers reentered the market and began to purchase their potash requirements out there rather than on consignment or on just-in-time basis, which had been the trend for much of 2009. Although, this demand was a significant change from previous quarters, we believe that dealers are only buying their expected spring demand and we anticipate that they will make every effort to end the spring season carrying limited amounts of inventory end of the summer months. Adverse weather conditions in late March, lowed sales at the beginning of the spring season, but the month of April saw an increase in demand for potash and Trio by end users creating a more typical turnover of inventory out of the distributor network. As Bob mentioned, while we are not out of product, demand has remained strong for both the large and small accounts. Additionally, we have recently seen the Trio export market become more active resulting in a number of confirmed export orders yet this year. Our posted price remains at $390 per ton for red granular potash and we see some positive signs in our local markets that support this price levels. We caution however, that our competitors are much larger and their marketing strategies may put pressure on our average net realized price. In the industrial segment of our business, the North American drilling rig count has continued a slow recovery upward, especially, in the oil and gas plays proximate to our Carlsbad production facilities and we hope to begin to see industrial sales pickup towards the middle of the year. As with the previous quarters, the animal feed component of our various markets has seen consistent demand. We should also note that the cattle and hog prices have improved significantly, which should lead to greater demand at the feed lock and producer level. All things considered this year’s spring season as much more reflective of what I’m experienced in the majority of my 38 years in the fertilizer business. There been some logistical challenges this year due to increased demand and rapid moment of potash and Trio and we are working hard to service our customers’ needs while at the same time balancing our rail and truck sales in order to maximize our net realized prices. I’ll now pass the call to Dave Honeyfield, our Chief Financial Officer to wrap up our prepared comments.
David Honeyfield: Thanks R.L. Potash cash operating cost of good sold in the first quarter of 2010 net of byproduct credits was $199 per ton, a decrease from the $238 per ton in the first quarter of 2009. While per ton costs have decreased from a year ago, they were up slightly from last quarter. The reason for the slight increase over the fourth quarter of last year is actually good news as it means that we sold through large portions of the higher cost inventory that we produced at our lower operating rates in 2009. The cash benefit of the monetization of our inventory is the primary reason for the increase in our cash and investment balance at the end of this quarter. Before I wrap up our prepared statements, I want to touch briefly on the net realized side upon average net realized sales price, and how average net realized sales price of potash correlates to the price of Trio. It’s instructive to look back over a number of quarters at the relationship between the price of potash and the price of Trio. What we have seen is that the average net realized price of Trio was between 45% and 53% of potash over the last five quarters, the ratio was 40% in 2008, when potash prices were rising and 61% in 2007, and 60% in 2006. We believe that the mineral content of Trio, that includes magnesium and sulfur, add significantly more value than what the product has been selling for. As we continue to develop the priming Trio market and educate buyers to the significant value of the magnesium and sulfur, we believe the growers will recognize the value proportion of Trio. As for potash pricing, we’ll continue to participate in sales of potash based upon the prevailing prices in the markets we serve. Intrepid remains focused on the long-term fundamentals of the potash market and we remain committed to maximizing margins and investing strategically in our operations to do so. As the market enters would appears to be in more stable pricing in demand environment, we intend to continue to allocate capital to our facilities invest in our people and maintain a strong balance sheet. Crop prices remained fairly stable through the spring season, and continue to be supportive of farm incomes. Our solid asset base and view of the long-term fundamentals of the potash industry, allow us to approach our growth in a measured manner. We’re encouraged by what we see in the potash market and with margins in their focus we believe, we’re positioning Intrepid for future success. We’ll now open the lines for any questions.
Edlain Rodriguez - Broadpoint AmTech: Hi, it’s Edlain Rodriguez from Broadpoint AmTech. Quick question for you, David are you seen any traction on the price increase you’ve announced? I mean let’s say, essentially are you selling any products in April at the higher price because we asking is the one of the larger player had note that half of the price increase has been implemented in April, just wanted to see, if you’re seeing similar trend?
Bob Jornayvaz: Edlain, this is Bob. The answer is yes, we are and we’re seeing a variety of our markets we tried to address that we’re seeing strengthen in a whole variety of our markets and I’ll let R.L. to address some of the specific numbers were where we are?
R.L. Moore: I think what we have to look at is, in the markets that we serving in our backyard, that calls made in our Utah facilities, which is a really strong truck market force. I mentioned in my statement that our rig going to potash process posted $390 of ton. We are selling truck tons at this level, a less appropriate discounts to the customer sales and even above that our white going to reserve posted at $398 of ton and we’re getting the $398 less a maximum $10 discount on those times.
Edlain Rodriguez - Broadpoint AmTech: So you’ve reported Q2 number as in terms of price that we should see a slight improvement from the Q1 level prices?
David Honeyfield: Edlain, this is David. I think that what’s helpful to understand is the progression of our posted price through the first quarter. For the first two months we were at $360 of ton and then that price increased $390 took place in March. So what we’ll see is a little bit of benefit I’d expect as we have that posted price throughout the quarter here
William Kent: Go ahead. We seemed to be having a little bit of difficulty with the Q-and-A announcement. So if you are in the queue go ahead and announce your self and we’ll responded questions.
Operator: Your next question is from the line of Robert Koort.
Robert Koort - Goldman Sachs: A couple quick questions first you mentioned I think in terms of the market, some of your competitors might put some pressure on pricing. I guess I’m trying to figure out the logic that your competitors might be following with seem like inventories, it’s a low demand, its high, why wouldn’t be broader support for bright side?
Bob Jornayvaz: Bob, I guess I’ll just answer that in terms of what happened last fall and as we’ve mentioned, we were selling potash very briskly in November at higher prices and the price very unexpectedly to us given the demand that we were seeing fell and history is what history is and we want to point out what happened. I’m going to get into the prognostication business about what might happen.
Robert Koort - Goldman Sachs: Would you caution me against the view that if those Canadian are sending plenty of export tons out, maybe that would be a little bit more tolerant of rising prices in the domestic market?
Bob Jornayvaz: The Canadians are going to do whatever is in their own best interest. We’re seeing great moment in our market. As we’ve mentioned earlier, we’re virtually out of red granular inventory, all of our truck markets are robust and returning to what we would see as normalized volumes. So we’re very pleased with the volume movement and the health of our customers to financial health of our customers in our regions.
Robert Koort - Goldman Sachs: If I might ask last one, I think you said, you’re getting back to more normalized demand patterns, it doesn't sound like you’re back to normalized inventory approaches by the dealer channel. So do you think it permanently changed to hand them out just in time or just existing, is that possible at the industry get little bit more confident about pricing we could go back to some inventory accumulation through the dealer trend?
Bob Jornayvaz: I don't think anything is happen permanently, if we go back and look at what the market look like in ’04, ‘05 and ‘06 in terms of dealers buying just in time inventory I think that we’re in a very similar situation to what happened now. R.L., I’ll let you add your historic perspective.
R.L. Moore: Bob, my comment look at where we are at this spring season, we still have consignment inventories in warehouses in the Midwest, and I can tell you that when the spring application season started. We had locations within three days are out of product and I think just in time purchasing that we saw all of last year, your customers have actually experienced some trouble getting their product in their house sometime this year. I think they'll continue to be cautious going into the summer months of 2010, but I think they will do a better job of preparing for the fall season of 2010.
Operator: Your next question comes from the line of Mark Gulley.
Mark Gulley - Soleil Securities: Couple of questions if I might, first of all we’ve talked on previous calls about the impact of potash imports into the US particularly for on the River by sort of dealers and distributors. In a market that still has low operating rates, are you still seeing the impact of that product on pricing?
Bob Jornayvaz: Yes, there was question that we saw Russian product and we actually saw a little bit of Israeli product on the River this year and so, given the strong volumes that we saw, I don’t anticipate a lot more pressure from that market, because we’re not seeing huge volumes come in. So going into 2010 in the first quarter, we saw those volumes, what those companies choose to do in the future is obviously now in best interest, but right now we’ve seen things settle out quite a bit or else anything if I that.
David Honeyfield: Their processing levels have been about the same for the last two to three months no significant change up or downward, it is turns it comes in and move into some of our market areas that we have complete with for that reason, we can’t sale all of tons at the $390 less $10 or whatever discount we gave. We do have markets at those import times effect and we have to compete with those tons on regular basis.
Mark Gulley - Soleil - Gulley & Associates: Two, you talked about increasing I think langbeinite recovery 250%, can you give us an idea or remind us please of what the capacity increase will be from current capacity of laying to the new capacity?
Bob Jornayvaz: Dave, you handle the numbers and then we’ll walk you through some of the incredible benefits we get in this project.
David Honeyfield: Mark this is Dave. Currently, we recover about 35% of the langbeinite that’s in the ore and through the addition of the dense media separation facility that will added will increase that recovery to about 50% and then Bob I know it’s going to touch on the addition of the Pelletier plan, which adds a lot flexibility to our product mix.
Bob Jornayvaz: Just two a quick list of benefits for this project I mean it’s got a financial return in the high teens an internal rig return in the high-teens based on line prices below the current market. It really up as maximize the resource, it lower the cash per ton cost of our Trio product, it’s very water friendly and it reduces fresh water consumption and I wanted to attend your water balance issue that we might have it really helps our product mix it monetize its existing inventory increases capacity makes it more flexible that significant revenue with minimal additional cost, so it’s a great project for in traffic.
Mark Gulley - Soleil - Gulley & Associates: Then finally, I know it will be in the 10-Q, but that huge increase in shipments, can you give us an idea what the split for this quarter amongst that strong shipment number on potash?
David Honeyfield: Yes, Mark yes, we can. In you’re talking about the mix amongst the product lines?
Mark Gulley - Soleil - Gulley & Associates: Right.
David Honeyfield: Into the Ag sector, we had 86% of our sales, our industrial oil and gas was 8%, of the sales in the feed component was 6%. Again keep in mind that feed numbers stayed very, very steady, it’s just all relative to the total products mix.
Operator: Your next question is from the line of Fai Lee.
Fai Lee - RBC Capital Markets: Maybe, I’ll just go as my first question, earlier you mentioned the posted price for potash, and can you provide some indication. So can you provide such prices for langbeinite in turns for Trio the posted prices as well?
David Honeyfield: It’s currently posted at $196 a ton for our granular products.
Fai Lee - RBC Capital Markets: It does change during the quarter?
Bob Jornayvaz: I think, we actually did have a $15 increase during the quarter. Potash prices for the most part took a $30 increase and Trio took a $15 increase in relationship with that $30.
Fai Lee - RBC Capital Markets: Just focusing on the langbeinite pricing, I think earlier there was some commentary about the percentage as a relative to potash, but when I look at on K2O basis, it looks like the premium was about I think around $40 per short-term this quarter when you contractor in the differential between the K2O content and that seems pretty much inline with past history and I’m just wondering do you expect, it’s all that you expect premium to go up overtime?
Bob Jornayvaz: Well, the first and foremost throughout the year, we’ve ran out of our granular products seller times. So there is a good solid demand for our granular products that we’ve actually seen in the market, feel in market. As we’ve began to broaden our education in marketing strategies to show the benefits of magnesium and the sulfur, which are really required in a whole variety of products, we’re seeing more market acceptance and we really just begun. So we believe that the magnesium and the sulfur in this product isn’t remotely valued properly by the pricing and we intend to undertake and begin a much more rigorous marketing campaign and education campaign, which we think will then result in better pricing.
Fai Lee - RBC Capital Markets: So it’s basically better marketing maybe in the past and that’s going to get better value for the magnesium and sulfur portions of the product?
Bob Jornayvaz: Yes, literally as we travel around our customers and in areas that we know are leading the magnesium and the sulfur. We’re just seeing great response.
Fai Lee - RBC Capital Markets: Just on the langbeinite recovery just to follow-up on Bob’s question earlier, going from 35% to 50%, right now I think you can produce effectively about 200,000 moving to 50%, if my math is correct, it will take you up to 285,000, so an increase of 85,000. Are those numbers about right?
David Honeyfield: This is Dave. I think there’s a couple other bits and pieces to that, that I think need to be taken into account and that’s what we are making investment to increase our mining capacity as well at our East mining and Carlsbad in Mexico and so I think you are doing the math right for productivity and/or throughput today, but I think as we make those investments over the next couple of years, we’ll see higher production numbers that come out of that system.
Bob Jornayvaz: The other thing Fai, that it’s a great feature to this plan, it’s designed to have a flotation plant had on to it. It’s designed to increase the plant over time and eventually have a significantly higher capacity. So by enhancing it in stages we’ve created a lot of optionally for ourselves to continue to upgrade this plan take it up even further.
Fai Lee - RBC Capital Markets: That's sort of I was getting to. So it sounds like maybe you might be able to produce with the project as it stands now maybe about 100,000 product tons and at some future point, you could get to the 200,000. I think increase that you've talked about in the past, if you had this flotation cell, I guess my question is with this flotation cell, how much would it cost to add on and how long would it take?
Bob Jornayvaz: John, you want to answer that?
John Mansanti: Yes I mean flotation was one of the options we looked at, I’m not sure how much I mean broad range of capital its kind of a mix, it depends upon like Bob said there’s a lot of flexibility and how we go about that, but if there’s other improvements we would come with the flotation facility and so were talking --
Bob Jornayvaz: Yes, for an additional $60 million to $100 million we could add a significant flotation plan additional granulation of polarizing capacity, which would take it up. We still have reserved the option to have these features on as we continue to go. So as we continue to grow our market and strengthen our pricing we will continue to grow our production capacity.
Fai Lee - RBC Capital Markets: So spending in $60 million to $100 million will effectively add another 100,000 tons of additional capacity almost directly?
Dave Honeyfield: It actually ends up and taking recoveries up to about 70%, if you end up adding the flotation circuit, so there’s a little bit of that education process that Bob described that we believe is proven to go through here in the near term and if you go back to the increase that the flotation circuit would add the majority of that product would be a smaller standard size product, which were we would again increase the granulation capacity even beyond what we’re adding with this line to handle that. So I mean the numbers end up moving fairly quick for that incremental investment.
Fai Lee - RBC Capital Markets: I guess the last question I have is, on the distributor psychology, I guess in the past they would have held more inventory and just in terms of your discussions with distributors, is the concern about being a little bit more cautious, is a concern about potash prices declining like they did last year and people were cut-off guard, or is it just the view that they feel prices are stable and you're just trying to minimize the working capital requirements?
Bob Jornayvaz: Well, once again let’s not forget the year we just came off. I mean farmers had stock market right, just like the rest of the world they went to recession. We’re not going though a stock market correction as we speak. We’re seeing what’s going on in Greece and in Europe. Those things all effect farmers and dealers buying decisions, it’s just not as straight line as you might thing. So, I think there’s caution as we see in a lot of other markets and we see the same type caution from our dealers, we have the same type discussions when we talk about their uncertainty, not so much about the agricultural industry, but when you look at economics overall there’s uncertainty out there. I think it causes people to rain back in little bit, its no different and we see more cash on corporate balance sheets now through our entire world that’s same kind of caution that we see on corporate balance sheets is occurring on dealers balance sheets. So I just want to put in perspective.
Operator: Your next question is from the line of Douglas Chudy.
Douglas Chudy -Keybanc Capital Markets: I guess first on the production cost per ton, you said it's going to take a little while to get the West mine fully up and running. Should we expect production costs per ton to pretty much mirror what we saw here in the first quarter until the West mine is fully operational?
David Honeyfield: Doug, this is Dave. I think needs get pickup from my mind is that, if you look at the concentration of sales that we had in the first quarter, as R.L. touched on that was in large part of that moment of our granular product out of the Carlsbad area, were a lot of those tons have been produced out of the West mine, where we’re running at an operating rate. We’ve essentially moved through all those tons that were on the books at the end of the year, so as we ramp up we’ll see that benefit coming through that being said [Audio Gap] moved through the quarters this year.
Douglas Chudy -Keybanc Capital Markets: You mentioned lag in industrial sales was likely attributable to some lower natural gas pricing in the core Rocky Mountains region can demand get back to historical levels if prices stay low or is there kind of a level of natural gas pricing that you would need to get the industrial potash demand back to free downturn levels.
David Honeyfield: That’s a great question and good observation, that’s why we’re building a new compaction plant that are Moab facility, we’re just going through the last stages of design on that and we’ll begin to construction on that here in the second quarter. That will enable us to granulator compact 100% of our product out there Moab, which will allow us to go back in forth between ag markets and industrial markets. We do see Rocky Mountain gas having opportunity to pick up, but we don’t want to be dependent upon that Rocky Mountain rig count, so I hope that answers your question.
Operator: Your next question is from the line of Elaine Yip.
Elaine Yip - Credit Suisse: Going back to your comments on dealers’ psychology given dealer cautiousness to season are there any change in interest or the way you market your forward warehousing program?
David Honeyfield: We’ve cut out four warehousing program back to just two dealers that were dealing with here in the United States. So in terms of how we’re handling it, we’ve got two what we consider very key relationships as it relates to those four warehousing programs. So we’ve cut it back significantly. At the same time, we’re seeing dealers willing to step up and buy smaller amounts of potash and once again I want to reiterate that they’re being cautious, but I think as is the rest of the world and all other buying activity.
Elaine Yip - Credit Suisse: Then moving forward on your langbeinite recovery project, but can you give us an update on how we’re thinking about some of the other growth projects you talked about late HB mine and North Mine?
David Honeyfield: Well, the great news is that HB as a very define schedule it was set up by BLM can well ride on track, if you look at time line or again chart where we hope to would be when we started this process and we don’t see any reason to believe that we’ll fair off the schedule of course. So that’s coming along really well we continued the evaluation of reopening the North Mine. I think in our furnace given the potash price correction that we saw, you have to go back and really roll up your sleeves on that, we’re looking at other alternatives as it makes sense to open that mine and run it in conjunction with the East Mine to possibly take oil over the East Mine, we were still very much interested in reopening that mine and looking at the optimum design to handle the (Inaudible) body that’s there. So when you go through our price correction like we did, you go back and you roll up your sleeves, you see working to cut cost, working to design, and the most cost efficient plant. We’re in the process of doing that. Those are the two biggest projects I think, but don’t forget the second phase of the ability to have a second phase at the line plant is a very significant option.
Operator: Your next question is from the line of Dave Silver.
Dave Silver - Bank of America/Merrill Lynch: I have a couple of questions I guess the first one might be kind of an accounting type question. So this has to do with accounting or the net back price you report on your consignment sales. So when I look at your shipments versus production, you sold down about 70,000 tons or so of potash and I’m assuming that includes a very high percentage of your consignment business. So just hypothetically if you sold to a customer at the same price, but you sold sometimes out of the consignments location versus sometimes out of a company location. Would you still be recognizing the same price, or is there some reductions in your net back from an accounting perspective for accounting for the benefits accruing to the dealer who might have had the consignment arrangement, or is that make sense. I’m just trying to get kind of more of the baseline on your $354 price for the first quarter?
David Honeyfield: Dave, there’s probably a couple of parts for this. Hopefully, I’ll bring some clarity around that. First part is that R.L. touched on some pieces of this already. One is we have reduced the numbers of consignment locations we have in large part because we started to see dealers take inventory onto their own books. The inventory locations and the consignment locations that we maintain, we believe were pretty important to the business in order to allow us to continue to move product through the system and those consignment inventory locations turned over quite readily. We’re competing with markets up and down the Mississippi River and large part there. So it's just a highly competitive market. What that allows us to do, frankly it is allows us to produce product at a higher rate and lower our per ton operating rate. So that’s really the important part of maintaining those relationships from a recognition perspective. I mean without a doubt if all else was equal in the word and we didn’t have those consignment and the tons moved, we might recognize slightly higher realized price, but we think the importance to having product in those locations and some of the logistic constraints that R.L. touched on that existent in the market allowed us to frankly move the product that we did.
R.L. Moore: Let's go back in time a little bit on those warehouse agreements. There was a severe resistance or reluctance on dealers to actually buy product last year and so was fair amount to work with our customers to be able to get product moved forward, so that they get in internal work with their customers. So it's really was a partnership our member of the discussions when we first started in 2009 with those, that we wanted to partnered with our customers to make sure they could take care their customers and so as we’ve gotten through 2009, we’ve gotten through that ugly demand market and we’re back in much more normalized market, we’re seeing our relationships returned to more typical standard buying patterns, buying habits etc. So just never forget the perspective of how those we’re started and why they were started.
Dave Silver - Bank of America/Merrill Lynch: Like I say, I was coming at it more from just trying to figure out a baseline price to think about your average selling price moving forward with a price increase flowing through, but thank you for that. Also you mentioned I guess in the part of the Trio discussion that there were some export orders that you were lining up to fill. I was wondering if with the situation in the US and Gulf, I'm assuming the product is going to be exported through the Gulf, but are you aware of any either delays or diversions or different shipping requirements that would apply to these tons as a result of the issues with the oil spill in that area?
R.L. Moore: This is R.L. All of our exports tons move through the Florida, Baltimore, Texas. We did not go out of the New Orleans and we’re not seeing anything impede our ability to make those shipments right now.
Operator: Your next question is from the line of Sandy Klugman.
Sandy Klugman - UBS: Struggling a bit to find an unanswered question here, but I guess at a high level, when you formulate your business strategy, how do you view the potential for new entrants such as BHP to pursue large project in Saskatchewan? I mean, global potash prices still well above vertical norms, the cash cost of the high cost producer. This maybe over the longer term it would seem to create a downside risk and I was wondering, how you could view that?
R.L. Moore: We’re trying to see how BHP views at, if we are looking at it from the current shareholders perspective our next generation of shareholders. We have a very difficult time understanding how they have virtually any rate of return giving the tight dollars they’re talking about spending and when the cash flows would start. BHPs are very rock solid smart company, when you put the pencil to the paper. It’s very hard to see how they make a return on that investment. So once again we asked the question for which group of shareholders are they building that, or taking about it or evaluating it for. Let’s not forget that, if that works come online, it wouldn’t come online till 2018, by their own estimates. So we look at it, we watch it, we try to understand their economics we tried to evaluate it, and that’s why some of the various projects that we’re engaged and significantly reduced our costs like the BHP solution mine are so important to us, because they drive so far down the cost scale, so that’s how we look at it.
Sandy Klugman - UBS: I guess just to return to the issue of cost, you've indicated that dealers are pretty reluctant to keep stock over the summer months. So how should we view the likely impact of that reluctance on your operating rates and perhaps your first month production costs --?
Bob Jornayvaz: Well let’s be clear, when we say there’s still reluctant, once again it’s a matter of perspective. They’re no where near as reluctant as they were last summer and a whole lot less reluctant in the fall and now we’re seeing more normalized patterns, but we’re still not seeing the robustness if you will that we saw in ‘07 and ’08. So to keep perspective we’re seeing dealers step up to the table and buy potash. They’re just not buying it in a way that there would be build significant inventory of larger than necessary inventories. So I want to put that word reluctant in a proper perspective, it’s kind of (Inaudible) so I apologize. If I could add one more thing we’re seeing a really good recovery in the Alaska market, here in our backyard market, which (Inaudible) lot of potash and this is a something that you just apply one-time a year. We’re fortunate that we’re in an area where, if were selling products in to California, Moab, Texas and Missouri. They did more than one application. We’re not going to reach point, were we’re not moving anything at all. Our sales are continued through summer month for people need product and I think as we get into the later part summer, you’re going to see dealers preparing for good policies and whether permitting.
Sandy Klugman - UBS: Just as a last question, I think I remember you having a North American consumption estimate for potash of eight million product tons. Is that still your estimate or have you provided any additional guidance maybe for next year or beyond?
David Honeyfield:  I think the historical numbers that we’ve see were about 9.2 million tons and that’s measured over the last 30 years. Currently 2008, 2009 fertilizer year was probably about 60% of that number and this year with started the 2009, 2010 season. We had that the one month very solid demand when the weather provided that opportunity. So I think it’s kind of hard to know that number down its inductively close to, I think that some of the estimates that folks would put out, but I think there’s rather than anything or some other comments we made that feels like a little more normal cycle overall. So getting back to that, 9.5 million number something overtime we see as getting to here.
Operator: Your final question is from the line of Horst Hueniken.
Horst Hueniken - Thomas Weisel Partners: You’ve made it clear that you do not expect that dealers will carry much inventory as they exit the spring application season. I understand this and agree with it. However, the spring planting season is strong and it's not over. Moreover, some other industry participants have talked about there being a so-called second wave of inventory restocking to keep up with the growing level of demand. After dealers having stocked up in inventory in January and February, they were thinking that you would see sort of a second round in April and maybe May. My question is this, are you seeing any signs of this second wave of restocking?
Bob Jornayvaz: I don’t know that we described it as a second wave. It’s more than something that’s more continual for us and once again when you look at the markets that we serve more diverse market set and we’re seeing a just continued steady demand. R.L., if you’d like to add some color there?
R.L. Moore: Bob, the only thing I could add and I looked at Utah facilities there. We really haven’t seen the heart of this spring season in Pacific North Russia. We still have a spring season to go out there, more sure in water that California has received, which they always need. We’ve seen a delight season start in California. So we still have some spring season ahead of us. Restocking issues, I can tell you that our distributors or customers that we have a consignments with ordering product weekly to go back into those warehouse is continued to cover demand, probably this month perhaps in early June.
William Kent: Well, I think at this point in time, we want to say thank you to everyone for joining today’s call and for taking time to learn more about Intrepid. Have a great day.
Operator: This concludes today’s conference call. You may now disconnect.